Operator: Good morning, ladies and gentlemen, and welcome to the Textron Third Quarter 2025 Earnings Release. [Operator Instructions] I would now like to turn the conference over to Scott Hegstrom. Please go ahead, sir.
Scott Hegstrom: Thanks, Rob, and good morning, everyone. Before we begin, I'd like to mention we will be discussing future estimates and expectations during our call today. These forward-looking statements are subject to various risk factors, which are detailed in our SEC filings and also in today's press release. On the call today, we have Scott Donnelly, Textron's Chairman and CEO; and David Rosenberg, our Chief Financial Officer. Our earnings call presentation can be found in the Investor Relations section of our website. Revenues in the quarter were $3.6 billion, up 5% or $175 million from last year's third quarter. Segment profit in the quarter was $357 million, up 26% or $73 million from the third quarter of 2024. Adjusted income from continuing operations was $1.55 per share compared to $1.40 per share in last year's third quarter. Manufacturing cash flow before pension contributions totaled $281 million in the quarter compared to $147 million in last year's third quarter. With that, I'll turn the call over to Scott.
Scott Donnelly: Thanks, Scott. Good morning, everybody. Let me just start with yesterday's announcement. I'm sure you've all read by now that yesterday, we elected Lisa Atherton to become our new President and CEO, effective at the beginning of January. At that point in time, I'll transition to be the Executive Chair. This is the result of a long, thorough process that we worked with on the Board. I think Lisa, who's been with our company for about 18 years is an outstanding leader. She's had a number of really important roles in the company over the years. She was the President and CEO of our Textron Systems business for about 5 years. Most recently, obviously, she's the President and CEO of Bell, where she's been very involved in both the capture, the win and now the execution of the ramp on MV-75. She's a fabulous leader. She knows the team. She's surrounded by a great team at the business level across the company. So we're proud of the fact that we had a great internal promotion, and I think she'll just do a fabulous job leading the company into the future. So with that, let me go ahead and talk about the quarter. Overall, revenue was higher, driven by strong growth across our aerospace and defense businesses. Aviation had higher segment revenues and profit compared to the third quarter of last year. We delivered 42 jets and 39 commercial turboprops compared to 41 jets and 25 commercial turboprops in last year's third quarter. Textron Aviation's fleet utilization remained strong in the quarter, contributing to an aftermarket revenue growth of 5% as compared to last year's third quarter. Aviation backlog ended the third quarter at $7.7 billion as demand remains strong. Earlier this month, Textron Aviation completed the certification of the CJ3 Gen2 and autothrottles on the M2 Gen2. Also this month, the Citation Ascend made a debut as it landed in Las Vegas for the NBAA exhibition. We are nearing completion of the certification process and continue to expect deliveries this quarter. During the quarter, the Latitude received FAA certification for new features of the Garmin 5000 avionics suite. These features include Synthetic Vision Guidance Systems and for improved approach capabilities down to 150 feet and a new taxiway routing feature. We continue to implement Starlink high-speed Internet connectivity onto our aircraft. With the recent announcement of the Latitude and Longitude supplemental type certifications, Starlink is now available on 14 platforms across Aviation's product portfolio. On the defense side, Aviation announced a partnership with Leonardo to launch the Beechcraft M-346N as a solution for the United States Navy Undergraduate Jet Training System competition. Throughout the quarter, Aviation participated in a nationwide demo tour to highlight the capabilities of this aircraft. At Bell, increased revenues were driven by higher military volume, reflecting the continued ramp and acceleration of the MV-75 program. In the quarter, Bell exceeded their 90% engineering release milestone, enabling continued fabrication and procurement activity for the prototype aircraft. Fabrication and assembly work on the program is continuing across numerous sites, including wing assembly at our Amarillo, Texas site, fuselage assembly at our Wichita, Kansas site, in addition to ongoing fabrication of critical rotor and drive system components in our Fort Worth operations. On the commercial side of Bell, we delivered 30 helicopters, down from 44 in last year's third quarter. Bell continues to see strong demand across its commercial product portfolio. Bell announced a purchase agreement with Global Medical Response for 7 429s and an option for 8 additional helicopters with deliveries expected to begin in 2026. Moving to Systems. Revenues were up as compared to last year. During the quarter, Systems received new contract awards for several programs, leading to an increase in backlog of about $1 billion in the quarter. These awards included ATAC awards for both the United States Navy and the United States Marine Corps, a new contract award for the U.S. Army to provide 65 mobile strike force vehicles in support of the Ukraine Security Systems Initiative and increased quantities for the Ship-to-Shore Connector program. In the weapons business, Systems completed delivery of the first production lot of XM204 anti-vehicle terrain shaping systems to the U.S. Army in support of operations in Europe. Moving to Industrial. We saw lower revenues, reflecting the divestiture of the Powersports business. At Aviation, we continue to make progress on several of our core development efforts. The team completed the Hover flight test envelope for the Nuuva V300 and set the stage for Air Vehicle 2 to enter the flight test program. As disclosed in our 8-K filing, Textron will be eliminating the Textron Aviation segment as a separate reporting segment, realigning the eAviation business activities across Textron Aviation and Textron Systems to leverage our existing sales and business development capabilities. This change will be effective at the beginning of fiscal year 2026. With that, I'll turn the call over to David.
David Rosenberg: Thank you, Scott, and good morning, everyone. Let's review how each of the segments contributed, starting with Textron Aviation. Revenues at Textron Aviation of $1.5 billion were up 10% or $138 million from the third quarter of 2024, reflecting higher aircraft revenues of $116 million and higher aftermarket parts and service revenues of $22 million. The increase in aircraft revenues were largely due to higher volume mix, which included higher Citation jet and commercial turboprop volume, partially offset by lower defense volume. Segment profit was $179 million in the third quarter, up 40% or $51 million from a year ago, largely due to higher volume and mix. Backlog in the segment ended the quarter at $7.7 billion. Moving to Bell. Revenues were $1 billion, up 10% or $97 million from the third quarter of 2024. The revenue increase was driven by higher military revenues of $128 million, primarily due to higher volume from the U.S. Army's MV-75 program, partially offset by lower commercial volume of $31 million. Segment profit of $92 million was down $6 million from last year's third quarter. Backlog in the segment ended the quarter at $8.2 billion, an increase of $1.3 billion from the prior quarter, primarily reflecting the award for the prototype testing and evaluation phase of the MV-75 program. At Textron Systems, revenues were $307 million, up 2% or $6 million from last year's third quarter, which included higher volume on the Ship-to-Shore Connector program. Segment profit of $52 million was up $13 million compared with the third quarter of 2024, largely due to a gain resulting from the early termination of a vendor contract. Backlog in the segment ended the quarter at $3.2 billion, an increase of $980 million from the prior quarter, reflecting new contract awards for the Ship-to-Shore Connector land vehicles in the adversary air business. Industrial revenues were $761 million, down $79 million from last year's third quarter, driven by Textron Specialized Vehicles. This reflects $88 million in lower revenues related to the divestiture of the Powersports business. Segment profit of $31 million was down $1 million from the third quarter of 2024. Textron eAviation segment revenues were $5 million in the third quarter of 2025 as compared to $6 million in last year's third quarter, and segment loss was $15 million as compared with a segment loss of $18 million in the third quarter of 2024. Finance segment revenues were $26 million and profit was $18 million in the third quarter of 2025 as compared to segment revenues of $12 million and profit of $5 million in the third quarter of 2024. The increase in revenues and segment profit was largely due to gains on the disposition of noncaptive assets. Moving below segment profit. Corporate expense were $26 million. Net interest expense for the manufacturing group was $26 million. LIFO inventory provision was $48 million. Intangible asset amortization was $8 million and the non-service components of pension and postretirement income were $67 million. As expected, our adjusted effective tax rate for the third quarter of 2025 was 25.5%, largely reflecting the impact of the One Big Beautiful Bill Act. We now expect our full year adjusted effective tax rate to be approximately 21%. During the quarter, we repurchased approximately 2.6 million shares, returning $206 million in cash to shareholders. Year-to-date, we have repurchased approximately 8.4 million shares, returning $635 million to shareholders. To wrap up with guidance, we are reiterating our expected full year adjusted earnings per share to be in the range of $6 to $6.20 and maintaining our expected full year manufacturing cash flow before pension contributions to be in the range of $900 million to $1 billion. That concludes our prepared remarks. So operator, we can open the line for questions.
Operator: [Operator Instructions] And your first question today comes from the line of Peter Arment from Baird.
Peter Arment: Congratulations, Scott. I appreciate all the help over the years. On the MV-75, could you guys give us -- there was an announcement by the Army here recently regarding accelerating the fielding of the Version 2. Just how that would impact any the cost profile? Or does it change anything?
Scott Donnelly: It won't change anything in the near term, Peter. I mean, obviously, part of the strategy on the program, which has been there all along was to start with a very basic aircraft and focus on the critical parameters around speed and range and basic aerostructure. But as you know, part of the incorporation of MOSA in terms of the architecture of this aircraft allows you to do that and then build out variants and derivatives and capabilities in different variants going forward. So our focus, obviously, right now is very much around the acceleration, getting the first prototype aircraft going. Those will be the first variant. So -- but there's already a lot of work clearly going on in the Army around what future capabilities they'll want to put on the aircraft, but that's enabled by the MOSA architecture. So it doesn't affect or impact the work that's going on around the basic aircraft today.
Peter Arment: That's helpful. And then just a quick one on -- just on Aviation, you talked about the demand remains strong. Just maybe any highlights you would call out just regarding whether it's regionally or just in general on the biz jet market.
Scott Donnelly: It's really across the whole portfolio, Peter. I mean we continue to see strong retail demand. People are flying. The end market industry remains robust, I would say, everywhere that we see it. The performance of the business is improving, obviously, as we talked about every quarter, improving margins. We had a lot of certification activity in the quarter. We would have originally planned probably to get the M2, the CJ3 and the Ascend in Q3. It's turned out. Of course, we now have the M2 and the CJ3, but those happened right at the beginning of Q4. And Ascend, we should have wrapped up here by the end of the month. The FAA, despite the shutdown is supporting us in that effort, which is great. So I think the market is strong. Our product portfolio is in a good place. So we feel pretty good about where things are.
Operator: Your next question comes from the line of Sheila Kahyaoglu from Jefferies.
Sheila  Kahyaoglu: Congratulations, Scott, on a great run and promoting both Dave and Lisa internally. I think that says a lot. Maybe if I could follow up on the MV-75 question, if that's okay, for Peter. Can you provide additional color on like where -- what's the update on the program? You've completed 215 flight hours. I think you're scheduled to deliver 6 test articles over the next 1.5 years. What happens from there with the Army? And how do we think about a contract being signed on?
Scott Donnelly: Sure. So I mean, the current program, it's -- Sheila, it's a good question. I think there are some misunderstandings about this program and sort of where it is and what's going on. I've heard a lot of people said, hey, is this going to be one of these programs as we've seen with a lot of defense contractors around these big fixed price programs. We're familiar with those. We had that, as you know, on Ship-to-Shore Connector. It's a healthy program today, but went through a very difficult phase given the nature of the fixed price development and production at the beginning. As you know, we don't have that. This is a very large program, obviously. It's mostly cost-plus development. There are some fixed price elements. We've already put the fixed price LUT aircraft into our program estimates to complete. We will, at some point, add the LRIP 8 once that is exercised by the government. But I think that the program as it's laid out today covers all of that development, which is largely cost plus. It does have LUT as a fixed price. It does have LRIP as a fixed price. And that's kind of where that -- where the current program stops. So the discussions around acceleration are really bringing forward that LRIP. We collectively with the Army, believe this is something that we can do with low risk. That's in part by, as you referenced, the fact that we flew 200 and some 300 hours on the V-280. The team is already building a lot of the key components and fabrications, getting ready to build the first prototype test aircraft. There will be 6 of those and then the 2 LUTs. So the risk of bringing that LRIP in rather than having a big gap is pretty minimal. People need to keep in mind that, that first LRIP aircraft is really sort of serial # 10, if you count the initial V-280 plus the 6 EMDs, which are cost plus and then those first 2 LUTs that are fixed price. So I think the team is doing a great job on executing. Obviously, we work very, very closely with the Army on the acceleration process. It's going very well. We're building wings. We're building fuselages. We're building gearboxes. It's all going quite well. And again, I think there is a little bit of a misconception around how this works. It is a big performance obligation. We will -- as you guys saw last year, when we did the LUTs and added those to the mix, we took our booking rate down, and that will result in a [ cume catch ]. It did result in a cume catch that was a bad guy. On the other hand, this quarter, they exercised one of the large cleanse for the cost-plus side. We actually increased our booking rate and took a modest cume catch good guy. So this is something to expect through the course of the program. But unlike these big fixed-price development, fixed-price production programs, we certainly don't see this thing entering into lost territory. It will continue to book at a low margin, which we've said from the beginning. But I think we're, again, in a pretty good place, and it's a program, I think, that's executing well and obviously is hugely important to the future of the company.
Operator: Your next question comes from the line of Gavin Parsons from UBS.
João Santos: This is João Santos on behalf of Gavin Parsons. You have talked before about improving Aviation profitability. What is the long-term margin target that you are aiming for? And what are the main levers to get there? Is it volume, pricing or more of mix?
Scott Donnelly: Well, I mean, obviously, these dynamics are different in each one of the businesses. But generally speaking, across all of our product lines, we have good gross margins. So the biggest lever is around volume and what that does in terms of conversion to the bottom line in terms of performance. So that's -- most of the investments that we make around product are around making sure that we have products that have high demand and can command good volume and obviously, solid pricing, which, again, we've seen that in the last number of years where we've had very positive price feedback as well.
João Santos: Great. And then in Aviation bookings have been fairly steady each quarter this year, even through the 2Q tariff uncertainty. Do you think long lead times are holding back new orders? And if production ramps, could that actually drive bookings higher?
Scott Donnelly: Well, look, it's -- there is some connection between news. There's no doubt if you get out too far out in time line that it's difficult for people to make that commitment. But as you said, look, I think that the market demand remains strong. It has been pretty steady. We've guided a 1:1 book-to-bill through the course of the year. I still feel good about that. And certainly, we do have plans where you'll see incremental volume in 2026 as opposed to 2025. So we're not obviously quite ready to guide 2026 here, but we certainly expect, as manufacturing continues to ramp, we will see additional output in terms of the number of aircraft.
Operator: Your next question comes from the line of Robert Stallard from Vertical Research.
Robert Stallard: Congratulations, Scott, on the move up. But my first question is actually in relation to that and how you and Lisa expect to divide the role going forward because you will be Executive Chairman.
Scott Donnelly: Sure, Robert. Look, I mean, this is, I think, a fairly standard transition in our business. I've been working with Lisa for a very long time in her capacity and key program jobs. She worked for me directly for the last 8 years running the Systems business and then the Bell business. So I want to be really clear, she becomes the President and CEO. She's running the company. That's -- and she's ready to do that, by the way. So I'll be there to help with some of the processes that we just haven't gone through around regulatory stuff and closing out the year and things like that. But I fully expect she's ready to run the company, and she'll start doing that on January 4, and I'll be there to help and do whatever it is that she needs me to do and obviously run the Board. But I think it will be a normal transition. I expect it will be very, very smooth. Again, we've been working together for a very long time. So I'll be around, but no one should have any questions, she's going to be running the company.
Robert Stallard: Okay. And then as a follow-up on Aviation, we've seen some recent signs of biz jet activity actually picking up in terms of year-on-year growth. Are you starting to see this flow through in terms of your aftermarket activity?
Scott Donnelly: Yes. We had a good quarter on the aftermarket side. There's no doubt utilization is strong. People are flying, which is a great indicator. Obviously, it's really important in terms of helping to continue to drive growth in the aftermarket side of the business. But I think it also bodes well just for demand for aircraft, which again, we're seeing the retail, the level of interest, inquiries, orders, bookings remain strong. So I think the industry right now probably is as healthy as we've ever seen it.
Operator: Your next question comes from the line of Myles Walton from Wolfe Research.
Myles Walton: Scott, on the retirement or move to Executive Chairman. You're not retired yet. Work to do. On the Aviation side, can you comment on the supply chain and how that's coming along and whether or not that's an impediment to hitting the $6.1 billion rev placeholder within the forecast?
Scott Donnelly: No, look, I mean, there are still supply chain issues as we've kind of talked about, it's not as many part numbers, for instance, as it used to be, but there are still some critical suppliers that are struggling. And yes, it does impact us on different models at different times. It continues to create a little more problem in just some production efficiencies and flow doing out-of-station work. Again, it's not as bad as it was. And so we are seeing improvements in that area. But there's some critical things that are sort of a little bit of hand to mouth and that we keep a close eye on with a relatively small number of suppliers, but they're critical suppliers. So again, overall, it's improved, but it's one that we -- I mean the team works this stuff every day. There are still some problem children out there, and that's been the sort of the nature of where we are. But I don't believe -- just to be clear, I think everything we look at today, getting to that $6.1 billion, we clearly feel good about our path to get there.
Myles Walton: Okay. Great. And then just a follow-up on Systems, great bookings. Is this the point of inflection for growth after a long time of relatively flat revenue?
Scott Donnelly: Yes. Look, I think so. The bookings were very strong. You guys know we started the year with a bit of a challenge with things like RCV and FTUAS getting restructured and changed. I do still think there's opportunities there in our participation in those kinds of programs. There's a lot of interest in a lot of the technology we developed around FTUAS. And so that stuff will play out. But for sure, what you're seeing, despite not getting those bookings, the growth in the rest of the business has kind of overcome that. Our ATAC business is just doing great. Those guys are performing really, really well. They've won a ton of new programs. Ship-to-Shore continues to grow. And as I said earlier, with Sheila, the program is healthy. Volumes are there. The team is executing really well. We continue to see growth in the Sentinel program. So I think when you look across that business, despite some of the challenges around a couple of those programs, it's good growth. And absolutely, we feel good about sort of that inflection point you referred to. this business has been executing, performing really, really well for a number of years. The only thing that's lacked, as you guys know, is growth. And I do think we're hitting that inflection point where we'll start to see it growing here as we go forward.
Operator: Your next question comes from the line of Seth Seifman from JPMorgan.
Seth Seifman: Congratulations, Scott. Just wanted to ask, starting off about Aviation, and you just spoke to kind of the revenue. When we think about the margin, it's a pretty significant uptick in profitability in the fourth quarter and kind of what enables that.
Scott Donnelly: Yes. I mean, look, I think as we've talked about, Seth, we expected to see a progression as we go through the course of the year. The fourth quarter will be strong on the volume side, which it normally is. I think we -- I mean, there are still challenges, but the team is performing better and better every quarter around getting flow. And largely, we'll see a nice significant bump in volume in the quarter, and that will drive good margin with it.
Seth Seifman: Okay. Okay. Excellent. And then maybe one more on MV-75. When we think about the LRIP units and bringing those forward, are there kind of additional contractual provisions that you can get to protect the company from concurrency risk?
Scott Donnelly: Well, so the LRIP have always been laid in there. So I don't think there's anything that would change contractually on that. To be honest, we're not that worried about the risk of that. Again, the base configuration of the aircraft is really solid. Obviously, it's a derivative off of what we did on V-280. There are changes, but we know what those are. We are fabricating right now the first of the prototype aircraft. So again, by the time we are building that first LRIP aircraft, we will have built, obviously, the original V-280, but we will have built 8 aircraft, the 6 EMD aircraft and the 2 LUT aircraft. So -- and certainly, there's an enormous amount of ground testing, component level testing, stuff that we already are fabricating and building parts. So I think we feel very good about the things we need to learn, any issues that we run into -- we're going to run into here on these initial EMD aircraft long before we get to where we're building that first LRIP aircraft.
Operator: Your next question comes from the line of Ron Epstein from Bank of America.
Ronald Epstein: Yes. Maybe just circling back on Systems. How is the unmanned portfolio doing when you look across the -- you've got unmanned land system stuff and Shadow and Aerosonde and some other stuff. We've seen such kind of surging demand for unmanned stuff. Just curious how that's going for you guys? And do you have anything in the pipeline that you're working on developing to kind of expand in that market?
Scott Donnelly: So I would say that, Ron, the Aerosonde program is going well, right? You know we went through a bit of a challenge as Afghanistan came out. We had a lot of aircraft that were deployed over there. Those have largely been redeployed to other theaters, other applications, a lot of marine applications. So that business is doing very well. That is where the next significant tranche really was going to be around FTUAS with that program not happening at least in the way it was envisioned. That was a hit. But look, the reality is these brigades need ISR. And so what really changed on FTUAS is that you understandably frustrated over how long it was taking to get stuff out there has basically said, look, you got to take these systems directly to the brigades and they'll drive that demand. So that's what we're doing right now. And that's why I say, while FTUAS didn't happen as a program, I do think that we will see a number of opportunities as we go out and sell that technology directly out to the war fighter. So there's also been some international opportunities. There's things out there with customs and border patrol. So in terms of our core platform today from Aerosonde and then transitioning into what was basically the FTUAS configuration, I believe we're going to start to see some nice growth in there. In terms of new platforms under development, part of what we did with the eAviation segment is that team in Pipistrel has been developing this unmanned cargo aircraft, what we call the Nuuva 300. That's now into flight test. We've already done the flight testing on Article 1. We're about to do the final build-out on Article 2, which has our own flight control fly-by-wire systems and such. And so part of the change here in the segment is that our Textron Systems business, which has always been the developer and sort of leading the business development on Aerosonde and Shadow and those other unmanned platforms, we will basically have responsibility to take that kind of product to market. And so it's the Nuuva unmanned cargo. We also have a nice niche that we've -- Pipistrel has for a long time and in high altitude unmanned sort of long-duration surveillance products. That's a product we already have today. We have some new developments in process there for very long duration aircraft. And again, those will now start to largely go to market through our Textron Systems business, augmenting our strength in unmanned aircraft.
Operator: Your next question comes from the line of Kristine Liwag from Morgan Stanley.
Kristine Liwag: Scott, congrats on your next chapter. I guess over the years, there's always been discussions and conversations with you about the broader Textron portfolio and if it should all belong together or if there are other ways to unlock shareholder value. At this point, all reporting segments are fairly stable. The balance sheet is very strong and the company generates solid free cash flow. I wanted to check with you to see if this management change also signals a reevaluation of the portfolio once again and how you think about it now?
Scott Donnelly: Well, I don't know that we would say that the change is drive that. I do think we are always looking at the portfolio. I think to your point, look, we don't have a burning platform, but would we look at either disposing or acquiring? Of course, we would. So that's a process that has been ongoing for some time. Obviously, we just did the dispositions around the Powersports business earlier this year. That was something we thought we really needed to do and wanted to do to help position the company going forward. But we're -- we continue to look at other opportunities, and I expect we'll continue to do that regardless of the leadership change.
Operator: Your next question comes from the line of Doug Harned from Bernstein.
Douglas Harned: If you look at the mix of deliveries across business jets, it's been pretty stable over the last 2 years. I mean I would have expected more of a shift toward the Latitude and Longitude, although that might have been an incorrect assumption. Are you seeing demand shifts across your portfolio? Is that -- and is that -- is the mix in there constrained more by where demand is or where your capacity is?
Scott Donnelly: Look, it is right now probably more of a capacity issue. I would say in terms of the end market demand, it has been steady, right? The demand or whether it's a Longitude or Latitude, whatever has been pretty stable, these things are often influenced by new products. So I would say, for instance, when we launched the new CJ4 Gen2, we saw a very strong spike in order activity, which kind of puts that lead time well out there because people were pretty excited in that piece of the market about that product. And we've seen the same things with things like the CJ3 Gen2s, certainly the Ascend. So there's -- I would say the end market is stable. Demand is pretty strong across all the pieces of the product portfolio. Usually, you see some of these spikes of order activity demand that can be affected by the launch of new product, of which we've had quite a bit.
Douglas Harned: Yes. And then when you look -- you've talked a little bit today about the strength of the demand environment. But if you look back to the beginning of the year and then where you are today, how would you characterize demand mix in terms of corporate versus high net worth individuals? Have you seen any shift there? Because obviously, there's been a lot of -- it's been a very dynamic sort of economic outlook over the last 9 months.
Scott Donnelly: Yes. It's actually pretty remarkable despite all of the noise of which there's plenty for sure, we're not seeing it impact that market. We haven't seen any piece or segment or interest that has changed because of what's going on. And I think part of that is the fact that you're out there, whether it's 18 months or 2 years, people are kind of looking beyond what current noise is in the marketplace, because they're not going to take delivery of that new aircraft for 18 months or so. So I think it's had a little bit of a muting effect on that. So -- but yes, remarkably, despite all of the noise that's going around, it's -- the demand is stable.
Operator: Ladies and gentlemen, this concludes the Textron Third Quarter 2025 Earnings Call. Thank you for joining us today. You may now disconnect.